Operator: Good day, ladies and gentlemen, and welcome to the Amadeus First Quarter -- sorry, First Half 2025 Results Conference Call. [Operator Instructions] I would now like to turn the conference call over to Luis Maroto, President and CEO of Amadeus.
Luis Maroto Camino: Good afternoon. Welcome to our '25 first half results presentation. Thank you for attending today. I'm joined by our CFO, Carol Borg who will be presenting Amadeus results for the first time. Carol has had the opportunity to meet a lot of you as part of her onboarding and is ready to address your questions. We have made some changes to our quarterly presentation and may make some more in the future. We aim to simplify how we communicate and to ensure that the strengths of our business are clear to the broadest group of investors. Let's start, I will focus on our most important business developments in the period, and Carol will elaborate on key financial aspects. Let's turn to Slide 4 for our headlines in the first half. The first 6 months of business in '25 evolved in a challenging macro and geopolitical environment. Despite this context, Amadeus delivered steady and profitable growth throughout the period. Our top line grew 8% at constant currency and our profit grew faster than our revenues, while we continue to drive our strategic plans forward. As a leading IT provider to the travel industry, we continued to invest decisively to support future revenue generation. For the first 6 months of the year, we invested about EUR 700 million in R&D or 20% of group revenue. Amadeus is completing one of the largest and most complex cloud transformations with 90% of our applications now activated in the public cloud. Our cloud transformation unlocks greater flexibility, scalability, speed and innovation potential. In the first 6 months of the year, we continue to expand our relevance in travel. We won renewed or extended business deals across our businesses. We advanced negotiations with others, and we progressed on our industry transforming strategic customer implementations of leading industry players such as British Airways, Air France-KLM, Marriott International and Accor. We have long-standing strategic partnerships with world-leading technology players to boost our strengths. We were pleased to announce our newest strategic partnership with Google, which together with Microsoft support our multi-cloud strategy. Additionally, Amadeus will explore AI-driven innovations by leveraging Google Cloud's AI technologies. And we are also collaborating to enhance flight search accuracy and airline offer management by integrating Amadeus Nevio and MetaConnect with Google's offer management system and Google Flights, which will improve user experience and market presence for airlines. Please turn to Slide 5 for a brief strategy update. Amadeus is leading the airline industry's retail transformation. We are advancing with the implementation of our first Amadeus Nevio customers. Nevio's, our next-generation airline IT platform, offering advanced retailing capabilities beyond offers and orders, consisting of fully flexible, modular cloud-native solutions and the latest advances in AI. Nevio's has a distinct value proposition, which allow us to offer our customers a possibility of doing much more than before and to attract new customers, thanks to Nevio's deep modularity. We continue to advance negotiations with potential Nevio customers. Finnair, an early Nevio customer has become the world's first airline to create a native order aligned with IATA's One Order in its directives. In the Middle East, Saudia is leading the industry by adopting our smart bridging capabilities, a first step towards offers and orders implementation. The France-KLM, the latest airline to select Nevio has already started the program to implement the solution. Additionally, British Airways has completed the transition from its in-house revenue management system to Amadeus network revenue management. This marks a major milestones in BA's transformation program and retailing strategy supported by Amadeus. We also aim to become the IT provider of reference to the hospitality industry. We believe the Amadeus hospitality platform offers the most comprehensive portfolio of core capabilities to the hotel industry and is the most broadly connected ecosystem of partners. We are uniquely placed to address industry needs and expand in this large and growing market. We are progressing well with the implementation of Marriott International and Accor to the Amadeus Hospitality platform following Intercontinental Hotel Groups and MGM Resorts International. We are creating a global community of world-leading hotels on a mission to transform relationships with guests that will run their core technology on our platform. Amadeus also operates the Amadeus Travel platform, a leading platform that enables travel providers around the world to retail through third parties everywhere on the globe. In the first 6 months of the year, Amadeus further strengthened its leadership in airline content distribution by adding new travel seller customers and increasing our share of wallet at existing customers as well as expanding the content bookable on our platform. In the first half of the year, Amadeus has signed 29 new contracts or renewals of distribution agreements with airlines. On the NDC evolution, we continue to implement and expand the NDC content made available through the Amadeus Travel platform. At present, we have 74 NDC agreements signed with airlines. Our goal is to become the undisputed aggregator of NDC content. And we believe Amadeus has the most advanced and comprehensive NDC technology in the industry and we aim to do NDC at scale. We are bringing the global travel industry together on a modern technology platform to connect the entire travel ecosystem. In addition to our ongoing cloud transformation, we are continuously harnessing the power of AI, data and modern technologies. AI and machine learning are key to improving user experience, predicting travel trends, personalizing customer journeys and optimizing operations. We have integrated GenAI on our platform, offering our customers a solid path to deploying agentic AI solutions. Technologically, we aim to power the largest, most vibrant ecosystem of open connected and flexible solutions in travel. Please turn to Slide 6 to review our commercial developments and operations in Air IT Solutions. Our most recent commercial developments in Airline IT included upselling wins with GOL, one of Brazil's leading airlines and also with flag carrier Bulgarian airlines. We renewed our Altéa agreement with Luxair, which brought adoption of incremental solutions and also our New Skies agreement with Ryanair making 20 years of collaboration -- marking 25 years of collaboration. During this quarter of Accenture New Skies has supported Ryanair's impressive growth trajectory and expansion, enhancing the airline's operational efficiency, customer experience and revenue generation capabilities. With our new Google partnership, we are implementing a collaboration on QPX, the Google Offer Management System through Amadeus Nevio, which will create the opportunity for more airlines to leverage Amadeus Nevio. In Airport IT, London Gatwick, the U.K.'s second busiest airport is expanding its use of Amadeus' biometric technology. With this rollout, all outbound passengers at London Gatwick's terminal will be processed through the Amadeus seamless journey platform, enhancing passenger experience. Also, Amadeus has expanded its collaboration with the Australian Department of Home Affairs, supporting enhanced automated border processing capabilities at the departures of their country's 10 international airports. GH Italia, long-standing Altéa Departure Control System user has further expanded the use of the leading solution to include Florence and Pisa airports, expanding the use of our biometrics technology into an adjacent space, a casino operation in France has deployed Amadeus seamless gate and seamless journey platform, delivering a premium contactless VIP entry experience. Our biometric solution have reduced check-in times by 30% and significantly improved customer satisfaction. Moving on to our volume performance in the first half, Amadeus passenger's boarded grew by 4.6%, driven by the global traffic evolution in the period, supported also by the Vietnam Airlines implementation in April '24. Excluding timing effects in the first half, we estimate Amadeus PB growth at 5.2%. In the first half, global traffic growth was impacted by geopolitical situations in different regions such as the Middle East and South Asia by a moderation in travel demand to and within the U.S. and other events such as aircraft incidents, both in first quarter and second quarter. In the first months of this year, all of our regions, excluding North America, reported solid growth. Asia Pac was our fastest-growing region, reporting 10% PB growth. In the first few weeks of July, we have seen volumes trending slightly below the second quarter. However, there have been several extraordinary events that may have impacted early July traffic in various regions, such as the controller strike in France and the Israel and Iran conflict in Middle East. Please turn to Slide 7 to review our operating performance in Hospitality and Other Solutions. This segment's revenue increased by 8% in the first half at constant currency, where the majority of our business deployed strong growth throughout the period, supported by transactions and new customer implementations. We had new commercial wins in the second quarter across our business domains. To highlight a few, Accor will expand its use of Amadeus' industry-leading sales and catering solution, Delphi in its premium brands. Delphi empowers sales and catering teams to more efficiently sell, organize and manage events. B2 Hotels, an hotel chain in Thailand will adopt a comprehensive suite of Amadeus solutions either on seamless personalized shopping and booking experience to guests from initial search through to post-stay engagement. In the U.S., New York-based SoHo 54 hotel has selected iHotelier Suite and Sunset Tower, a landmark hotel in California contracted Amadeus Digital Media for hotels. A destination marketing organization signed for Amadeus Digital Media for destinations. And United Arab Emirates-based Omeir Travel Agency will access hotel content through Amadeus Value Hotels, our laser-oriented distribution solution beyond the GDS. In partnership with Microsoft and leveraging OpenAI's model on Azure, we have introduced advanced AI tools, including Advisor Chat, integrated into Demand360 for instant market insights and a new e-mail RFP feature in MeetingBroker to automate and accelerate group bookings responses. These innovations empower hoteliers to make faster data-driven decisions and streamline group sales, marking a significant step towards more efficient AI-powered hospitality operations. Finally in payments, we have launched a next-generation fully automated payments reconciliation system for airlines, leveraging smart algorithms and synchronized data to match sales and payments across channels. Amadeus has co-developed the solution with British Airways, which is now scaling the deployment of the module across its operations. Outpayce is also making the solution available to the wider airline industry. Please turn to Slide 8 for our air distribution highlights. During the second quarter, we signed 17 new contracts or renewals of distribution agreements with airlines, taking the total to 29 for the first half. We also have 74 NDC agreements signed today with airlines. Cathay Pacific NDC content became available through the Amadeus Travel platform to travel sellers in selected markets. We now have NDC content from 35 airlines accessible through the Amadeus Travel platform. We had commercial wins over the period with major travel agencies. In Europe, eDreams ODIGEO has extended its long-term partnership with Amadeus for air content distribution. TravelPerk, a business travel management platform also extended its scope, which now includes access to Amadeus NDC content. In Asia Pac, we signed via Philippines, the Philippines leading travel seller to migrate all of its international bookings to the Amadeus Travel platform. And we have successfully expanded key strategic partnerships with long-standing customers such as with s Berg-Hansen and CVC Corporation. We have also expanded our non-air content offering for travel sellers on the Amadeus Travel platform, adding content from Brightline, a passenger railroad in the state of Florida in the U.S. and from iryo, Spain's first private high-speed rail company. Amadeus and Google have also announced an agreement that will feed Amadeus MetaConnect into Google Flights more easily, improving flight search accuracy. For airlines, this means greater control over their commercial strategy by distributing dynamic offers more efficiently and with increasing pricing accuracy, enhancing the overall user experience on Google Flights. We continue to see strong momentum regarding our corporation business with new customers such as Deutsche Telekom signing for our self-booking tool-related solutions. As we continue to strengthen our partnerships with key Amadeus Cytric reseller partners such as BCD Travel and Globespan Travel Management. Globespan issued the first live Air Canada NDC booking via Cytric in the Canadian market, expanding access to premium content for corporate travelers. We are glad to share that Amadeus has won the Gold Award for Amadeus Cytric Easy in the Customer Experience category at the '25 National Marketing Awards in Spain. To review our volume performance in the first half, Amadeus bookings grew by 2%, supported by Amadeus' continued commercial success across regions. We are starting to see some of our travel agency customers bringing volumes from aggregators, most recently in Europe. We estimate first half bookings growth, excluding timing effects, at 2.7%. As I described before, during the first half, global traffic growth was impacted by geopolitical situations in several regions, a moderation in travel demand to and within the U.S. and several events, including airline incidents. In the first 6 months of this year, our fastest-growing region was Asia Pac, where our bookings increased by 10%. Through the first few weeks of July, we have seen a strong performance in bookings ahead of second quarter with bookings growth picking up in many regions, most strongly in Middle East, Western Europe and LatAm. With this, I will now pass on to Carol for further details on our financial performance.
Caroline Borg: Thank you, Luis. I'm delighted to be presenting the half 1 2025 results on behalf of Amadeus. During the last 12 weeks, I've been doing a lot of listening, meeting people and really getting a deeper understanding of this amazing business. As you know, I joined Amadeus as I was attracted to a tech-driven people business working alongside a high-caliber team with the objective of creating further value, particularly building on our potential, capacity and appetite for further growth. What has positively surprised me is how unique the travel industry really is and the role that Amadeus plays in being the technology partner for airlines, travel sellers, airports and hoteliers. I'm convinced that those who will succeed are those who deliver reliably at scale and in sync with the travel ecosystem, all of which are features of Amadeus' strategy. Now let me present a new look to our H1 results. Please turn to Slide 10. As you know, in the first half of the year, the exchange rate between the U.S. dollar and the euro has been notably volatile with the U.S. dollar depreciating significantly in the last months. 40% to 50% of our group revenue is generated in U.S. dollars, and we also have exposure to foreign currencies in our cost base with 35% to 45% of our operating expenses generated in U.S. dollar. Foreign exchange effects have been negative for us on both revenue and EBIT in the first 6 months and more notably in the second quarter. As referenced in Q1, we will now show our performance of revenue, EBITDA, adjusted EBIT and free cash flow versus the previous year at constant currency as we believe this information is more useful in evaluating Amadeus' underlying financial performance. More details on our constant currency calculations as well as complete information on IFRS figures and their evolution are available in the appendix of this presentation and the Amadeus first half 2025 management review. In the first 6 months of the year, we delivered strong growth across all of our key metrics, namely revenue of EUR 3,260 million, 8% growth at constant currency, 7% reported growth. EBIT of EUR 938 million, 8% reported growth and adjusted EBIT of EUR 973 million, 8% growth at constant currency, 7% reported growth. Profit of EUR 727 million, 12% growth and diluted EPS also at 12% growth. Adjusted profit of EUR 739 million, 9% growth and diluted adjusted EPS also at 9% growth. Free cash flow of EUR 469 million, 12% below the previous year as expected, and leverage stood at 0.7x net debt to last 12 months EBITDA at the end of the period. As you know, we have an ongoing share buyback program for a maximum investment amount of EUR 1.3 billion, which was launched in March. Our 2025 outlook at constant currency remains unchanged. As Luis mentioned, we have experienced a challenging macro and geopolitical environment. However, despite this, we continue to deliver steady and profitable growth and expect to deliver revenue growth at the lower end of our guided range of 7.4% to 11.4% with EBITDA and EBIT growing faster than revenue. Please turn to Slide 11 to review our revenue evolution. Our group revenue at constant currency grew by 7.6% as a result of revenue expansion across all of our segments. Air IT Solutions revenue growth of 7.9% was driven by the PB volumes evolution, Luis has described previously and a 3.1% higher revenue per PB, which largely resulted from positive pricing impacts from new agreements and negotiations, upselling of incremental solutions and inflation, fast growth of our airline expert services revenues and strong performance of our airport IT business, which includes Vision-Box, which we acquired in April 2024. These effects were partially offset by a negative platform mix as Navitaire New Skies outperformed Altéa. Revenue per PB growth accelerated in Q2 relative to Q1 when excluding Vision-Box consolidation impact and FX effects, driven by the positive pricing effects I've mentioned previously. Hospitality and Other Solutions revenue growth of 7.5% was driven by hotel IT and distribution, particularly the Amadeus CRS and hotel distribution transaction-driven business and business intelligence, supported by customer implementations. Digital Media revenue growth has been experiencing some weaknesses since the beginning of the year, mainly due to a reduction in media spend by our customers, particularly in North America. Our hospitality revenue growth was also driven by payments, where both our Merchant Services and Payout Services businesses expanded notably. Air Distribution revenue growth of 7.5% was driven by the booking evolution, again, as Luis described previously, coupled with an unusually high revenue per booking growth of 5.4%, primarily resulting from positive pricing impacts, including contract renewals, new agreements and inflation. Please turn to Slide 12 for a review of our adjusted EBIT evolution. At constant currency, our adjusted EBIT grew 7.6%, resulting from the 7.6% revenue evolution discussed on the previous slide. And cost of revenue grew as a result of revenue expansion across the business, reported fixed cost growth of 9.3%, mostly resulting from an increase in resources, particularly in our R&D activity, coupled with a higher unitary cost, higher cloud costs due to volume expansion and the migration of our solutions to the public cloud and the Vision-Box consolidation impact in Q1. Ordinary D&A expense increased by 3.1%, mainly driven from higher amortization of internally developed software, partly offset by a lower depreciation expense at our data center as a result of the migration of our systems to the public cloud. At constant currency, EBITDA margin was 38.9%, slightly below prior year, and adjusted EBIT margin was 29.8%, in line with prior year. So now let's turn to Slide 13 for a review of our contribution by segment at constant currency. Air IT Solutions contribution increased by 5.5%, resulting from the revenue evolution described previously, offset by cost growth of 13.9%, fundamentally driven by increased R&D investment focused on the enhancement of our portfolio for airlines and airports, customer implementations and our fast-growing airline expert services business, variable cost growth driven by Airport IT's business expansion and the consolidation of Vision-Box. Air IT Solutions contribution margin was 69.8%, 0.8 percentage points below the previous year, excluding the Vision-Box consolidation impact due to business mix. Hospitality and Other Solutions contribution was 5.5% above the previous year as a result of the revenue growth described previously, offset by cost growth of 8.5%, which resulted from higher variable costs driven by the volumes expansion in both hospitality and payments and an increase in fixed costs caused by an increase in resources and higher unitary personnel costs to serve this growing segment. Hospitality's contribution margin was 33.6%, 0.6 percentage points below the previous year. Air Distribution's contribution grew by 12.4% as a result of the revenue growth described previously, offset by a 3% cost increase, which mainly resulted from bookings evolution. The contribution margin of this segment expanded by 2.2 percentage points to 50.7%. Now on to Slide 14 for a review of our adjusted profit evolution. Adjusted profit grew by 8.5% as a result of our adjusted EBIT growth, lower net financial expenses and higher taxes than the previous year. Diluted adjusted EPS grew by 8.5% in the period. Net financial expenses declined, driven by lower average gross debt and cost of debt and taxes increased as a result of higher taxable income and a slightly higher tax rate at 21.6%. Now on to R&D and capital expenditure on Slide 15. In half 1 2025, R&D investment grew by 14.9%. Half of our investment was dedicated to the evolution of our portfolio, including Amadeus Nevio and Navitaire Stratos for airlines, our hospitality platform, NDC technology for airlines, travel sellers and corporations and solutions for airports and payment services. 1/4 to 1/3 was dedicated to customer implementations across our businesses, such as Marriott International and Accor for ACRS, new Nevio customers and airline portfolio upselling and customers implementing NDC technology as well as efforts related to bespoke and consulting services provided to our customers. And the remainder was dedicated to our migration to the cloud and our partnership with Microsoft, including developments on our own internal technology systems. In Half 1 2025, our capital expenditure increased by EUR 71.2 million or 22.1%, mainly driven by higher capitalizations from software development. Capital expenditure represented 12.1% of revenue in half 1. And now on to free cash flow generation and net debt evolution on Slide 16. In half 1 2025, we generated EUR 468.6 million of free cash flow. As expected, free cash flow was below the previous year by 11.6% as a result of increases in our capital expenditure, change in working capital outflow and taxes and partially offset by the EBITDA expansion and lower interest payments. Net debt amounted to EUR 1,715 million at the end of June, EUR 396.3 million lower than the end of December due to our free cash flow generation, the conversion of bonds into shares and partially offset by the acquisition of treasury shares under the share buyback programs, including our ongoing EUR 1.3 billion program, which is currently 45% complete. Also included in that is the interim dividend payment and a small acquisition in the travel intelligence space. So our solid cash flow generation and balance sheet management has resulted in a leverage of 0.7x net debt to EBITDA as at the end of June. And finally, please turn to Slide 17 for our current view for 2025. So despite a challenging macroeconomic and geopolitical environment, we delivered steady and profitable growth, demonstrating the resilience and diversity of our business. We entered the second half with confidence to deliver our group results within our 2025 outlook guidance at constant currency, albeit with revenues growing at the lower end of the range based on the current industry outlook and EBITDA and EBIT growing faster than revenues. We continue to remain extremely relevant for our customers as a leading IT provider to the travel industry, deploying effective resource management, we continue to invest decisively to support future revenue generation and deliver our expected EBITDA and free cash flow. Thank you. And with that, the presentation is finished, and we'll open the call to take any questions.
Operator: [Operator Instructions] Our first question is from Michael Briest from UBS.
Michael Briest: Welcome, Carol. And just a question on the 2026 outlook. Obviously, you gave that a year or so ago. I'm just curious with the currency movements, would you suggest we look at that on some sort of currency-adjusted basis? Or do you think the 9% to 12.5% is achievable? And then in terms of the Altéa and Navitaire business, the airport IT -- airline IT, just curious, do you still sell Altéa? Or is it all new customers would come on to Nevio and similarly for Navitaire and its successor? And just an update on the pipeline of migrations. I believe ANA domestic is yet to move. Is there any time line for that or any other airlines that we should be factoring into our models for migrations?
Caroline Borg: Thanks for the warm welcome. I'll take the question on the outlook, and Luis will talk about Altéa and the pipeline and migrations. As we announced in our Investor Day, yes, we have given outlook -- a 2026 outlook guidance, and we remain holding those guidance at constant currency as we communicated in Q1. We are welcome to come back to you in the New Year with our full year results on the -- on revised guidance or an updated on that. But at this stage, our guidance, as previously communicated, still holds at constant currency.
Luis Maroto Camino: Altéa and Navitaire, I mean, look, the future clearly is offer and order. That's what the industry is moving and will move. And therefore, many of the engagements we are having today are about the future. There may be some cases, however, where still airlines may be keen to really come to Altéa. I would say this is more temporarily because the whole industry in years from now will move to Nevio or whoever alternative is in the market. So offer and order is a trend. I mean as we have announced, for instance, we have renewed Ryanair, which is in Navitaire, so not yet in Stratos, but there are conversations ongoing, especially for renewals and also for new customers moving more into the new world. And that means, in my view, that we should announce more deals on Nevio and Stratos than the ones that we will announce for the current Altéa or Navitaire. And with regard to new customers on Altéa, yes, I mean, again, ANA will come into the platform in 2026 -- in mid of '26. And this is a customer, of course, that we signed many years ago and still going through Altéa. And hopefully, at one point, we'll start migrating to Nevio. But the deal with ANA is about Altéa today.
Michael Briest: I mean there haven't been many deals recently for either platform. Do you think that this transition to One Order is causing a bit of an air pocket in customers as they evaluate or wait for the technology to mature?
Luis Maroto Camino: I think this will accelerate. Of course, they want to see things running. They want to see who is coming to the table. What I can tell you is that the pipeline is strong. We are engaged in many conversations. And hopefully, we should be able to announce some of them in the coming months. So the pipeline is good. The airlines know that this is going to bring a lot of benefits to the industry. Of course, we have signed, I mean, four customers now. But I think, again, as we start delivering the solution and as customers start making their minds, and of course, they also need to make on investments and their own internal processes, but I think this will clearly accelerate in the coming years.
Operator: And your next question is from Adam Wood from Morgan Stanley.
Adam Dennis Wood: First of all, it's obviously, a good price increase on the GDS side of the business. I wonder if you could just talk us through a little bit on the component parts of that, what you're seeing maybe competitively and whether they move to NDC, just the moving parts that are enabling you to get such strong pricing? And then secondly, obviously, we -- I think we're all aware of the disruption that's gone through the second quarter. But could you maybe reassure or speak to us around how much you think of the slowdown you've seen across the businesses basically 100% macro? Or are there any structural changes that you see? And maybe just finally on the July commentary, I mean, in the past, the bookings has always been the leading indicator and PBs follow. Is there any reason this wouldn't be the case this time around?
Caroline Borg: Thanks, Adam. Let me take the revenue per booking question first. So as you all know, the elements that impact this metric are booking mix, customer mix and customer renewals and renegotiations. And predominantly in Q2, we had some really positive impacts from ongoing customer renewals and renegotiations, which as you can appreciate can be lumpy in nature. They don't tend to follow a sequence. So the very high or the unusually high, as I said, revenue per booking in the first half was really driven by the lumpiness of customer renewals and renegotiations that happened in the first half. I think it's probably fair to say that we don't expect the same growth in H2 than we saw in H1. So that will moderate. We don't see any abnormal effects coming in the second half of the year.
Luis Maroto Camino: With regard to impacts, we feel really is macro. Still demand is there. Yes, I mean, the delivery of aircraft has improved despite the fact still with some constraints due to the engine situation. But the main impact we have seen is macro. Again, in the second quarter, there were many, many impacts. I mean in this industry, there are always impacts, but probably a bit more based on what was going on in the world. And what we have seen, yes, is in July, bookings better in most of the regions. PB is more in line with June. June was not a good month. But of course, you have the situation in the Middle East that worsened at one point, seems to be better now. So look, PBs for the time being are not recovering. But as you said, in principle, the bookings should be an anticipation of a recovery of passengers at one point, but the bookings are performing well in July. Again, I am cautious because the uncertainty these days is higher than other years. But after seeing a second quarter where we saw some weakness, I mean, the July figures seems to be positive and we are cautiously optimistic that we have reached the bottom, and we are a bit more optimistic about the future. But again, with all the caveats that you can understand.
Operator: And your next question is from Alex Irving from Bernstein.
Alexander Irving: Two from me, please. First of all, on air distribution. Are you seeing any changes in the intensity with which airlines trying to alter their distribution mix? I mean it feels like we haven't had as many big surcharge and content removal announcements from airlines this year as in the previous 2 years. You've seen some like American and Southwest coming back towards more indirect distribution. Do you think this is a sustained trend? Does it make you more positive on the medium-term outlook for GDS bookings? Second question on hospitality. Growth slowed down this quarter. Is there anything non-underlying that has driven that slower revenue growth in this segment? And then when should we think about an acceleration with the migration that you've got coming? Is that Q3? Is that Q4? Is that more 2026?
Luis Maroto Camino: With regard to booking and intermediation, you are right. If you see today how PBs are evolving and bookings, you cannot compare month-by-month because you have different effects like Easter or as we mentioned about the anticipation of the bookings but overall, yes, we see the airlines much more constructive with regard to NDC and with regard to the collaboration with the GDS'. We also see, in general, the realization that moving that outside of the GDS has cost and complexity. So this is completely the reality in the industry we are seeing today. And this is why we feel our investment in NDC is going to really play well in the medium term, and we have always said that. With regard to hospitality, we have seen weakness in some parts of hospitality, but mainly in media. Media is based on specific campaigns, and it's very dependent on the U.S. market. And overall, the U.S. market was weak in the second quarter. Again, July seems to be better overall. And hopefully, this will translate also into the hospitality figures. But media, which is mainly that campaigns that the hotels are doing to promote, their properties have been weaker than anticipated. Saying that, we expect an acceleration, both if this becomes more confident about the U.S. evolution of travel. And second, with some of the migrations that we mentioned, especially Marriott that will start having an impact. And the payment situation that we have previously mentioned at one point, payment is growing well. We have been looking for an acceleration. This should happen during third quarter and fourth quarter. Fourth quarter, for sure. Third quarter, it depends how the customers that we have signed will come into reality and will be implemented. But we expect an acceleration in both parts of the segment.
Operator: And your next question is from Charles Brennan from Jefferies.
Charles Brennan: Great. I've got two actually just on guidance. Firstly, this year, I think you started expecting EBITDA to grow slower than revenue. It looks like that's now the reverse with you expecting EBITDA to be faster than revenue growth. Is that a function of business mix that's changing that dynamic? Or are you actively working on investment plans in the second half to try and manage faster EBITDA growth? And then secondly, can I lift the horizons back to 2026? I know you suggested that the existing guidance is broadly unchanged on a constant currency basis. But that obviously assumes an acceleration in 2026, particularly on the Air IT and Hospitality side. I guess if we go into '26, we might get industry volumes that are a little bit better. But can you give us some tangible building blocks of your own company actions to try and drive that accelerated growth? And I guess what I'm trying to understand is how much of that acceleration is visible today versus something that's a little bit more speculative.
Caroline Borg: Okay -- EBITDA growth first, and then we can take the '26 outlook. So you're right, Charles. I think we mentioned actually in the Q1 that when we started -- well, let's just take a step back. When we came out with the Q1 results, the IATA outlook was not yet available. They announced in June. But we guided to the market through the discussions that we had that we had room within our revenue guidance range for a deterioration in the outlook. That has come to fruition, as we've seen in June with the IATA. So we also said that we had some things in our toolkit to kind of moderate fixed cost growth to try to deliver the EBITDA margin independent of our revenue implications due to volume as well as FX. So you're exactly right. It's a combination of both the things that you said, which is business mix as well as management intervention to drive EBITDA growth, which we are saying will outperform our revenue growth in FY '25.
Luis Maroto Camino: Let me talk about '26 conceptually. I mean again, in Airline IT, of course, we have ANA that we mentioned before. We expect to have some acceleration of some of the Nevio contracts that we have signed with some incremental revenues. And again, look, we are also taking the assumptions of the traffic and expectations for next year, okay? So this is with regard to Air IT. And again, our airport business doing well. So part of that is already like the contract of ANA and part of the Nevio deliveries. Part of that will depend on our capability to really keep signing incremental customers, mainly in other parts of the business. Services has also been doing well, but we'll need to see how things evolve next year. With regard to the hospitality segment is what I mentioned before about the last part of this year, we expect an acceleration in hospitality as we have the migration mainly Marriott, the main piece, Accor will also start, but the full impact will be in '27 plus the acceleration of payments. And with that, we should be able to really achieve our targets. Of course, some of that is in our projections and secured because the contracts are signed. Some of that will require that we keep signing customers as we have done in '25.
Operator: And your next question is from Victor Cheng from Bank of America.
Victor Cheng: Welcome, Carol. A couple on distribution, if I may. I guess first of all, looking at your new distribution agreements, I noticed some of the OTAs and TMCs that already have a high mix of NDC bookings themselves through direct connect or other NDC aggregators, notably looking at TravelPerk. Now obviously, you have announced expanded agreement with them. Is it right to think that this agreement with Amadeus for them is to consolidate different either direct connect or other NDC pipelines and converge it to Amadeus? Or are they using Amadeus to fill NDC content that they currently do not have? And then related to that, looking at the contribution margin as well in distribution that have expanded, has that -- is that related to NDC as well? And what's the current NDC mix? And how should we think about that contribution margin progression as NDC volume or mix shift?
Luis Maroto Camino: With regard to TravelPerk, I mean, yes, this is an expansion with what we have today. They have been working with us, and we are expanding the capabilities. And of course, as you mentioned, they produce a significant volume of NDC bookings. And of course, we expect to get these bookings with us. As I mentioned before, there is always the possibility for any travel agency to do whatever direct connect or use alternatives to us, but this is a sign that we keep signing customers and provide our technology to process their NDC volumes and...
Caroline Borg: I can take the contribution margin.
Luis Maroto Camino: Yes, okay, go ahead.
Caroline Borg: Thanks for the welcome. As you rightly said, the Distribution segment margin did expand by 2.4 percentage points, driven by pricing effects. As I mentioned, there was an unusual lumpiness in Q2. And so we expect to still stay within a small margin expansion for that segment, but it will be at a lower rate than the first half as we don't have the same revenue per booking mix in the second half going forward. So I don't think it's necessarily as a result of any mix change. It's really around pricing effects and customer negotiations.
Victor Cheng: And maybe any updates on NDC volumes as a percent of Amadeus bookings?
Luis Maroto Camino: I mean still, we are -- I mean we are growing a lot. But again, for the airlines that have migrated, we are in the mid-teens. Some airlines are much higher than that. But as we are bringing new airlines into the platform, of course, they have started to really operate. So we see good traction, keeps increasing as a percentage of the total of Amadeus and again, keep implementing them. So I will say this is an ongoing and continuous process that will take some years, but good traction, good agreements with both airlines and travel agencies and more and more where we will see some mix of volumes with [indiscernible] NDC that overall hopefully will generate a good growth for that business in the years to come. So we are more or less at the same. But saying that, with more airlines today and more or at higher percentage of our total volume, but still not big enough to have a significant impact. But again, every month, we see an increase of NDC bookings over the total and keep growing very strongly.
Operator: And your next question is from Toby Ogg from JPMorgan.
Toby Ogg: Welcome from me as well, Carol. A few questions. Just on -- just back on the Hospitality segment. So constant currency growth slowed from 9% in Q1 to 6%. And I know you've called out a moderation in digital spend there as a driver. But any other areas that were incrementally weaker that could explain almost a 3-point slowdown? And then just thinking about the hospitality guidance, how confident are you in achieving the low end here? Because it does imply quite a big acceleration from the Q2 exit rate. And should we start to see some Marriott contribution in Q3? And then just last one on the passengers boarded. Obviously, the comment in the presentation that the first few weeks of July is slightly worse than Q2 on the PB side. What do you think is driving that? And given that traffic growth potentially could continue to normalize, what would drive any re-acceleration in the PBs in the second half?
Luis Maroto Camino: Okay. Let me start with the last one. PBs, I mentioned during my presentation or answering one question, that, yes, it was below Q2, but in July was similar to June. And that means that what we have seen during this year, starting very strongly in January, I mean, as you have seen IATA and IATA just published today the June figures. I mean there has been a progressive deterioration of the traffic. It has not been the same in the different months. Of course, you can argue about the amount of incidents and things that have happened during the June, but the reality is that there was also a deceleration of the traffic. In July, it was more or less in line with June. So our view, if we think about the bookings and how we see the evolution of the regions is that, hopefully, we have seen the bottom of this deceleration and well, that things may improve from there. So again, things are not deteriorating or deteriorating when you take the average of the quarter 2, but the quarter 2, April was better than May and May was better than June, okay? So if we take July as a point of June, hopefully, there will be an evolution. And in some parts like the U.S., we have seen some improvement. And hopefully, this will translate in better figures in August and September.
Caroline Borg: I can take hospitality as well.
Luis Maroto Camino: Yes, yes, go ahead.
Caroline Borg: So Toby, thanks again for the warm welcome. But on hospitality, you're right. We did show a deceleration Q1 to Q2 in our hospitality and other solutions revenue. But if I draw your mind back, I think we said in the Q1 that we would expect the acceleration to happen in the second half of the year. So that acceleration in the pace of growth is coming from, as Luis mentioned previously, some mitigating measures that we put in place to address the revenue growth delays in payments. The payments business is growing notably in the first half, but we did put in some measures -- we have put in some measures that we will see come through in the second half. And Luis also mentioned the revenue ramp-up from the Marriott implementation, which we'll see coming that's more skewed into the second half of the year. I mean the big reason for the deterioration from Q1 to Q2 is media, and we believe and largely media, as Luis mentioned, linked to U.S. and U.S. sentiment and customer spend. We think that, that will start to moderate in the second half. And of course, the distribution of our hotel content, as we also mentioned, will accelerate in the second half. So we feel confident on the hospitality numbers to deliver growth and accelerated growth in the second half versus the first half.
Luis Maroto Camino: Just to add one comment. I mean there was also a lower growth in our hotel distribution business, but nothing to do with any underlying performance. I mean we had Easter in the middle, which is impacting airline bookings and also hotel bookings. If we exclude some of the holidays effects, it has been pretty much in line, but it was having a small impact, saying that the media was the main point. And as Carol said, look, we expect this to really evolve positively in the rest of the year.
Operator: And your next question is from Guilherme Sampaio from CaixaBank.
Guilherme Macedo Sampaio: Welcome, Carol. The first one on fixed costs. You mentioned that you're doing some adjustments this year. I was just wondering whether part of the savings this year could mean incremental costs in 2026. If you could provide a bit more color on this, it will be great. And the second, you mentioned also a more constructive environment by airlines on GDS negotiations and that volumes are moving out of aggregators in Europe into the GDS. How about the situation in the U.S.? Could you provide us some additional color on this?
Luis Maroto Camino: Look, my comment was general. What we see in concrete terms is some volume coming from some travel agencies doing NDC in Europe already. But hopefully, I mean, as we have always said, we expect to really bring some of the volume that is not part of our system into the platform. So it has been more now in Europe, but hopefully, will be in the rest of the world.
Caroline Borg: Yes. And on the fixed costs, again, thank you for a warm welcome. I feel very loved today. You're right that we had represented fixed cost growth. But however, quarter-on-quarter in the half, we've seen a reduction. And moving into half 2, our growth will moderate due to the lapping of Vision-Box consolidation impact and the lapping of the resource ramp-up that we had in the prior year. So effectively timing effects. And to extend that to your question about, well, what do we see for FY '26? I expect that we'll still see a slowdown in our underlying cost growth in FY '26 as we continue to finish our migration to the cloud.
Operator: And your next question is from Sven Merkt from Barclays.
Sven Denis Merkt: Welcome to Carol from me as well. Maybe one follow-up question on the pipeline for Nevio. Can you perhaps comment what the main obstacles are to converting these deals that you still have in the pipeline? Is it commercial terms? Is it ease of migration? And can you perhaps also comment on what type of airlines you have in the pipeline? Is it really broad-based across geographies and sizes of airlines?
Luis Maroto Camino: Across the board, it's everywhere. Again, airlines will move there. And if you see, yes, we have signed more with the European carriers, but we also have Saudia and the conversations are with all kind of airlines. What is preventing? Look, negotiations are always about conditions, pricing, migration. So it's like always, I mean, these are long-term decisions. So it's a matter of priorities for the carriers. And yes, also engagement with us and negotiations to convince them that we have the right solution. So I would say, look, there is nothing really preventing them. I think it's a matter of priorities, timing and finishing negotiations of IT contracts that are never easy. But I will say, look, the conversations are moving in the right direction. And again, hopefully, we should be able to sign some of that pipeline or convert into contracts.
Operator: There are no further questions at this time. I will now hand the call back over to Luis Maroto for the closing remarks.
Luis Maroto Camino: Thank you very much for attending the call in this end of July, and I wish you all good summer season, and we'll talk for the third quarter results. Thank you.
Operator: Thank you. Ladies and gentlemen, the conference call has now ended. Thank you for participating. You may all disconnect your lines.